Operator: Good afternoon. My name is Tiffany, and I will be your conference operator today. At this time, I would like to welcome everyone to the Hain Celestial Second Quarter Fiscal Year 2013 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Ms. Mary Celeste Anthes, you may begin your conference.
Mary Celeste Anthes: Thank you, Tiffany. Good afternoon and thank you all for joining us today. And welcome to the review of our second quarter fiscal year 2013 results. We have several members of our management team here today to discuss our results. Irwin Simon, our Founder, President and Chief Executive Officer; Ira Lamel, Executive Vice President and Chief Financial Officer; John Carroll, Executive Vice President and Chief Executive Officer, Hain Celestial U.S.; and Rob Burnett, Chief Executive Officer, Hain Daniels. Our discussion today will include forward-looking statements which are current as of today’s date. We do not undertake any obligation to update forward-looking statements either as a result of new information, future events or otherwise. Our actual results may differ materially from those projected and some of the factors which may cause results to differ are listed in our publicly filed documents, including our 2012 Form 10-K filed with the SEC. This conference call is being webcast, and an archive of the webcast will be available on our website at www.hain-celestial.com under Investor Relations. Our call will be limited to approximately one hour, so please limit yourself to one question with a follow-up question. If time allows, we will take additional questions and management will be available after the call for further discussion. Now, let me turn the call over to Irwin Simon. Irwin?
Irwin Simon: Thank you, Mary, and good afternoon. I hope everybody had an opportunity to look at our press release that was released at 4 o’clock today. And another record earnings quarter for Hain, as you come back, our sales were up -- sales $455.3 versus $364.8, up 25%. Our gross margin $28.7 versus $28.7 a year ago and that’s what higher commodity costs, some higher input costs but really how we focus on the margin. Our SG&A 16.6% of sales versus 17.4%, and which really shows how we are integrating acquisitions, how we are really watching our costs and how we are actually making a lot of these acquisitions work for us. Our EBITDA which and I’ve talked a lot about EBITDA, what I like to be as a objective for -- objective of sales and $67.3 million, which is 15% of sales versus $49.7, and up 35% versus a year ago. So some great EBITDA and we are really hitting those metrics out there and an adjusted EPS of $0.72 versus $0.53, up 36%. So as you can see, great number, great record earnings. In the quarter, we really focused on sales we really focused on profitable sales. And certain brands here in the U.S., Rob, will talk about what we did in the U.K. in regards to our ambient brands and how we focus on that and how we really look at getting higher prices and less promotional products. If you really come back and look at our free cash, our free cash of $106.8, up 47%, so we are focused on cash and how we turn our inventories in the cash and cash conversion and Ira will talk about that. Let’s talk about the quarter. It’s hard to believe when we last year earnings here we were sitting through a major hurricane, one of the worst hurricanes in the 100 years in the Northeast, a lot of stores close. We lost a lot of shipping days with that and we are able to overcome that and John will talk about some of the effects of Sandy, but its way behind us and we filled a lot of shelves. From an inventory, sales have been strong and you’ve about us having to do without stocks and inventory. And again, October, November we had to build up our inventories on Arrowhead Mills, DeBoles and the whole GlutenFree, our pouches and back in December we’re really back in stock, so we had overcome that and some shortfall in the quarter. In the quarter we closed on the Premier acquisition of brands and we’ve owned it two months and as I’ve said before, when you, could do all your due diligence you want before you acquire business when you own it, you make a lot of decisions and within two months, Rob and the team have made a lot of decisions going forward, a lot of products that we will discontinue and rationalize the business. How we will focus on building the brands and how we will focus on really building that business out both on the, our Hartley’s brand, our Sun-Pat brand, our Gale’s brand and our Robertson’s brand, and how we’ll also focus on building out the profitability of the plant. We’ve had 16 brands in the quarter that are up double digits. We had three that are up high single digits, five up low single digits. John will talk about his Nielsen numbers, over two years, as you stack the number how they are up. And one other things, you come back and look at the whole food industry, AOC numbers were up 4 times in AOC channels what regular -- what conventional foods are. So natural organic is growing and it’s a major part of the growth within food today and the consumer is converting to more and more healthy foods. Just some notable mentions, our Greek Gods Yogurt up 39%, our [Keeper] a lot of the new products pretty excited about. Earth’s Best and that is just getting back in -- the back in shape with pouches up over 15%, I’m not stealing your thunder John. And Celestial Seasonings, we’ve had some of the strongest key numbers that we’ve ever seen in the history of Celestial and it’s not because of the bad flu season or cold weather, it’s just we have some great, great products out there. On the hand, hey, over a billion dollar worth of potato chips are eaten during Super Bowl and I know was part of that, but Garden of Eatin’ and Terra some good strong growth there. We get some challenges also on the Rosetto which we are not focusing on promoting, sales were up, our soy milk business where we are focusing on rice and almond was down. And some of things that we’re doing, we have smaller brands in Nile Spice and Breadshop that factor, our Martha Stewart cleaning products, and again, we are not focusing on those brands and that’s not where our growth is, we’ll put out money towards growth brands and the same with our private label business. Our U.S. business and again, John will talk about it, our growth was 9.2% or 9.4% and good margin growth and you see some of the gains distributor we are making, some of things we are doing with new products, some existing things in personal care, why genetically modified ingredients the opportunities with meat-free, gluten-free. And we’ll talk about BluePrint, we closed on BluePrint at the end of December, not to tell you, we’ve done a lot of existing acquisitions. And the whole juice category, the whole juicing category, just the hot category today, hot trend. We think we have a tremendous product and January being big slim down month and we saw some tremendous sales in January and we continuously see strong sales in January in the overall business. So we are pretty existed about this and pretty existed about rolling the juicy, our BluePrint product out to retail and out rolling, rolling it our in Canada and in our U.K. business. Looking at our Canadian business, our Canadian business is up strong, Greek Gods, Spectrum, our Dream business, our Celestial strong distribution in Loblaws and Wal-Mart. In Canada, we also had some other stocks that we have to deal with and we’ll absolutely have that behind us. Our Protein business which talked about before up 9.5% and we’re also seeing some growth in our Asia business with Hutchison Whampoa and we continue to see the growth. Our Europe sales in local currency up 8% and strong sales from our Lima business, our Dream business, our Natumi business, we really get our inventories and stock under control and we are seeing some actually good growth in France with Danival, our Lima business, and Philippe and the team really got good plan in place. How we are going to grow through our natural food stores but how we are ultimately going to get more and more into conventional stores. We are opening a new non-dairy facility in April, which will give us capacity and a lot of efficiency in new products. We rollout a lot of non-dairy products. We have a strong non-dairy business in Europe today and with our new non-dairy facility allow us to rollout a lot more products and expand throughout Europe. The European team will also take over Hartley, Sun-Pat and Robertson’s selling those in April, so give some good opportunity for some of the new products that, some of the products from the Premier acquisition. Rob will discuss lot of the U.K. U.K. is up 113%, which of course double the business with the acquisition. And again, we are focus on building branch here. We are focusing on profitable business. We are going to eliminate either private-label SKUs. We are eliminate SKUs that are not profitable or losing money for us and we can do that now. One other things with the Premier business, we get Hartley’s, Sun-Pat, Robertson’s that are all number one within their category. You get Gale’s that are number two in honey but we have an opportunity to become number one. We have New Covent Garden Soup, its number one in soup and Lovetub. So lot of opportunities to really focus on the U.K. business and we’ll go ahead and do it. So, opportunities of meat-free, glutin-free, the whole tempeh, health and snack foods, organic products, GMO and raw, so we have the categories and products, and you’ll see in the growth. What I wanted to do is turn it over to John, and he’ll tell you about the existing things that have happened with the U.S. John?
John Carroll: Okay. Thank you, Irwin. Good afternoon. Q2 was a very strong quarter for Hain Celestial U.S., key highlights from the quarter included our Q2 net sales of $280.4 million, up 9.4% versus year ago, when adjusted for the transfer of Costco Canada sensible portion sales to our Canadian operation. Importantly, all key businesses, grocery and snacks, personal care, Celestial Seasonings and Greek Gods showed strong sales growth versus year ago led by as what Irwin already mentioned, Greek Gods 39% increase. Our latest 12-week Nielsen all outlets combined consumption growth was 7.5% which is four times higher than the AOC total channel growth. This reflects continued Hain Celestial U.S. consumption gain across all key measured channels. This growth was achieved even as we lapped a double-digit Q2 year ago comp, resulting in a two-year stacked consumption growth over 18%. These results were driven by gains across the portfolio as we had 14 brands with double or high single-digit increases. Also in Q2, our gross profit margin was up over 100 bps as we were able to offset about $4 million inflation with improved mix, productivity savings and favorable diary costs. And finally and most importantly, in terms of financial metrics, our Q2 U.S. operating income was $47.6 million or 17% of sales, which is up 14% or 85 bps respectively versus year ago. Just another note, our U.S. cash conversion cycle during this quarter was down 10 days, despite increasing our inventory to improve our customer service levels. We have set this inventory increase with higher sales along with significant payables and receivables improvement. Now as we look forward to second half ‘13, I want to start by briefly reviewing our U.S. financial objectives. U.S. business model has consistently targeted and delivered against four key financial objectives. First one is, we look to drive mid to high single-digit topline growth. Secondly, we look to drive 50 bps to 100 bps of margin improvement across the middle of the P&L. This yields double-digit operating income growth and then by working our cash conversion elements we look to drive double-digit plus operating free cash flow improvement. Our first half results were consistent with these performance objectives, as for first half ‘13 we had 9% adjusted topline growth, we had 90 bps gross margin improvement, 14% operating income growth and 20 plus percent operating free cash flow improvement. So as we look at the second half, we continually optimistic about U.S. business despite some tough second half comps and some commodity headwinds. We continue to see strong momentum across the business and we believe it is sustainable based on four key factors. The first factor is our continued U.S. consumption momentum. Q2 was our 12th consecutive quarter of consumption growth. Our Q2 year ago comp was a high double-digit numbers and we still drove strongest distribution -- strong consumption gains in fact four times that of the category growth. We feel confident that our consumption trends will continue, given the fixed new products that we’ll introduce at Expo West, the strong sales growth we’ve already experience at BluePrint and most importantly, our second factor, which is our continued AOC distribution growth. Our Q2 AOC distribution was up over 5% versus year ago. This was an acceleration of our distribution growth versus Q1 as we continue to fill in the distribution wide space at key customers. This growth was highlighted by distribution gains at AOC accounts such as Wal-Mart, Kroger, Safeway, Target, Publix, Sams Club and Giant Eagle. The third factor makes us optimistic about the second half is our improving customer service levels. Look we mentioned previously our growing U.S. consumption changed our capacity and some key brands like Earth’s Best, MaraNatha, Terra, Arrowhead Mills and DeBoles. Our Q2 service levels improved 150 bps versus Q1 due to capacity initiatives on MaraNatha, Earth’s Best pouches and Terra. But our second half forecast calls for an additional 400 bps to 500 bps improvement based on these capacity initiatives, which will significantly reduce our out of stock and bring our service levels to the mid to high 90s. So the final reason we’re optimistic about our second half prospects is our proven productivity process. I mentioned earlier, we encountering some second half commodity headwinds. Second half almond and chia pricing will be up over 30% versus the first half, so not just versus year ago versus the first half due to higher demand and lower crop yields. So we’ve already announced a price increase on our almost and chia products that will go into effect in the fourth quarter, but that only offer us very limited relief. The key offsetting these almond and chia increases will be leveraging our proven productivity function for additional savings. Our first half productivity savings were over $12 million, up 25% versus year ago. These savings were driven by initiatives such as internal production of Earth’s Best pouches, increase throughput at the Terra, personal care and MaraNatha factories, and distribution network optimization. We are executing against the full set of second half productivity initiatives to deliver savings to help offset these commodity increases and to deliver our second half financial objectives. So to close, Q2 was the strong quarter for Hain Celestial U.S. highlighted by 9.4% topline growth, margin expansion over 100 bps, 14% operating income growth and increase operating free cash flow, and this is in line with seeing similar results for the whole first half. And we are optimistic about the second half ‘13 given our strong consumption trends, a robust new product pipeline, our growing distribution base, our improving service levels, our productivity function and our exciting BluePrint acquisition, which I mentioned to you is off to a fast start in January. So, now let me turn the call over to Rob Burnett in the U.K.
Rob Burnett: Thanks, John, and good afternoon, everyone. Well, I’m pleased to report record sales and operating income from the U.K. Sales were just over $120 million, up over 100% on last year, and operating income was up from $3.3 million last year to just over $12 million this time. And turnover in the quarter included just two months of sales from our new ambient grocery brands acquired at the end of October. Now whilst the income generation was very strong in the new grocery business, sales were little bit below budget, couple of main reasons, we saw at the end of December quite a low destocking from the retailers and you can see that in terms of press release the retail trade in the U.K. had quite a tough time over Christmas. We also suffered a bit from lower sales of Christmas condiments and seasonal lines from the new Premier business. But probably more importantly when we go -- we took over business we initiated a drawback of deep cut promotional activity. We cut back on activities that previously we had been doing and we concentrated on bringing value to the jam category in particular through higher ticket prices. This has been very well received by customers. We will continue to concentrate on eliminating low margin activity on products. Three of the newly acquired ambient grocery brands were up over double-digit versus last year, being Sun-Pat peanut butter up 16% in the quarter, Hartley’s dessert pots up 17% in the quarter and the Cadbury’s chocolate spread up 30% in the quarter. And from the rest of our portfolio we had strong growth from Lovetub desserts up 15%, real hot category for us, Linda McCartney meat-free up 14% and Cully & Sully the Irish fresh soup leader, up over 10%. So, that’s six in double-digit -- good double-digit growth. We launched 122 new products in the second quarter of which two-thirds of these were completely new and one-third were replacement line items one-in one-out. Notable branded launches including a range of four Greek Gods Yogurt and Sainsbury’s as an exclusive test and the launch of Linda McCartney meat-free in the chilled category for sandwiches and weight loss. 54 of these 122 products came from introduction of the newly acquired Superior Fruit business which we replaces our sandwich business. And to update on the revenue synergies from Daniels and the Premier acquisition, the new Linda McCartney meat-free chilled range as I mentioned was introduced into Sainsbury’s and weight loss in Q2, the range has now gone into Costco in January of this year and will follow in Morrison this month. This gives us full representation in all five major supermarkets in the U.K. and we are supporting this launch in late January and February with first ever TV campaign for the brand, which features an animated retailing of the Linda McCartney story and how life long commitment to meat-free and vegetarian food. And as an added bonus, we have the soundtrack to the advertisement featuring a new recording from Paul McCartney. And as you can imagine, we’ve had a lot of great PR from this activity. And we’ve also just taken in January, price increase on all our frozen meat-free products, brand and on label, which will support other initiatives including resignings, lower margin product, taken to improve the profitability of this business segment. Four Greek Gods products were launched into Sainsbury’s as an exclusive test in November. We’re encouraged by the launch, I’m planning to support the existing lines with the smaller size Wal-Mart and extend the range to a national launch in spring of this year. And Irwin touched on this earlier, we have agreed the five-year exclusivity deal with the major customer to provide an extensive range of desserts in our Fakenham facility. Plant configuration has progressed well this quarter and we will soon be commissioning plant for the first-phase launch in May 2013. A new business will be launched in four phases through to February 2014 when the run rate is expected to be a little over 30 million plants or $45 million. And let’s update you on the integration of our recently acquired grocery business. The transition is progressing very well. David Atkinson, a former senior member of Premier’s management team, is leaving the Ambient Grocery business for us. And he brings with him a wealth of knowledge and experience in this category. Customer response has been very positive as we’ve outlined our vision for the business in category. The customers are very keen to see us really invigorating this category with new ways of working, increased product innovation and of course investment behind our portfolio of market-leading brand. As I deeply touched on, we’ve made an adjustment to the previous strategy of deep cut promotions in jam which are already paying dividends in terms of margin on customer confidence. And we’ve undertaken a review of low margin products with a view towards eliminating sales that do not fit with our overall profit target. We’ve really demonstrated in our new business our commitment to grow our brand by engaging in a media campaign in January and February to support our newly-designed low calorie range and we kickstarted an extensive branded NPD program to support and extend the key brands in the portfolio as well as introducing new healthier variants later this year. We also plan to further support the key brands of Hartley’s and Sun-Pat this fiscal with new media activity, the first of its kind for several years. Looking forward, we expect to complement the acquired business by building up a portfolio of U.S. Hain brands in the UK grocery markets, which will be managed by this new business unit. Work is underway to affect the launch into the branded free from categories that we’ll feature glutten-free and dairy free. We are working closely with our European colleagues to take advantage of our superb non-dairy facility in Germany. And the retailers in the U.K. have strongly supported the concept of free-from and have generally dedicated an area in-store to various product ranges to have the free from label and healthy eating claims. Glutten-free and dairy free are the biggest elements of this category and we will be playing in both areas. Similarly, we believe there will be good potential broad juice product in this area. So in summary, after only two months of the newly enlarged U.K. group, we had a good shape with a fantastic mark leading brands to capitalize on the many different growth opportunities in the fourth coming quarters. We will enhace opposition as the U.K.’s in providing added-value fruit, vegetables and free-from products. Ira?
Ira Lamel: Thank you, Rob. Good afternoon, everyone. Income from continuing operations in the second quarter this year was up 53% to a record second quarter income of $32.2 million compared to $21.1 million in last year’s quarter. We earned a record $0.68 per diluted share from continuing operations on a GAAP basis this year, an increase of 47.8% compared to $0.46 per diluted share in last year’s quarter. Adjusted income from continuing operations was $34.2 million this year compared to $24.4 million last year, improving by 40.3%. Adjusted earnings was $0.72 per diluted share compared to $0.53 per share in last year’s quarter, improving by 35.8%. Our adjustments to earnings are from acquisition-related fees and expenses including integration and restructuring charges of $3.8 million, offset by a realized foreign currency gain of approximately $1.3 million on the advanced buying of British Pound Sterling to fund our acquisition of the Ambient Grocery Group in the U.K. Net sales in the second quarter were $455.3 million, an increase of 24.8% compared to the $364.8 million last year. We saw a strong increases in sales across our U.S., Europe and Canada segments coupled with sales contributed by our acquisitions. Sales in our U.K. segment include our recent acquisitions of Ambient Grocery for two months, Daniels for the fourth quarter compared to two months last year and Cully & Sully for the full quarter this year compared to none last year. Gross profit in the second quarter was 28.72% of net sales, up from last year’s 28.67%. We saw a favorable mix of sales in the quarter and were particularly pleased with margin performance given the lower margin rates in the U.K. segment, particularly with Daniels in for a full quarter this year as compared to two months last year. The improved gross profit was achieved in the face of input cost inflation amounting to approximately 1.8% in the second quarter of this year, measured against the second quarter of last year. Our SG&A for the quarter excluding acquisition-related expenses and integration costs were 16.64% compared to 17.3% in last year’s second quarter. The 75 bps improvement comes from the continuing integration in the U.K. and from lower G&A rates in our recent acquisition of the Ambient Grocery brands. From Daniel’s being in for the full quarter this year along with our overall focus on leveraging our G&A base across all of our segments. Operating income for the quarter was $51.2 million or 11.3% of net sales on a GAAP basis, compared to $36.2 million last year or 9.9% of net sales. On an adjusted basis, operating income was 12.1% of sales at $55 million this year, increasing 33.8% from last year’s $41.1 million or 11.3%. Depreciation and amortization in this year’s quarter was $9 million as compared to $8.3 million in the prior year, with the increase coming principally from acquisitions. Stock compensation in the quarter was $3.7 million this year as compared to $2 million last year. Our balance sheet continues to be a strong one. Our working capital was $279.4 million, showing a current ratio of 2.1 to 1 at December 31st. Our stockholder’s equity was $1.1 billion and our debt as a percentage of equity is at 57.9% and 36.7% as a percentage of total capitalization. Total debt at the end of the quarter was $640.5 million. Our debt increase with the acquisitions of the Ambient Grocery Group, excuse me, the Ambient Grocery Group and BluePrint as we drew down on additional $287 million in order to fund the cash needed for these acquisitions. For the trailing 12 months through December 31, 2012, operating free cash flow improved by almost 48% to $106.8 million this year versus $72.3 million for the prior year’s 12-month period. Significantly, operating free cash flow showed this improvement while we continued with the capital project we have discussed in the past spending $25 million more on CapEx in the 12-month period this year versus the same period last year. CapEx in the quarter this year amounted to $16.6 million. Cash conversion year-over-year is down 11 days to 57 days on a consolidated basis. Day sales outstanding were 40, improving by three days. Inventory days are 61, improving by four days and our payables are 44, improving by four days. We are updating our previous sales guidance to reflect the BluePrint acquisition in the U.S. and to reflect certain integration progress in the U.K. We now anticipate the U.K. operation will eliminate, approximately $20 million of Ambient Grocery sales along with approximately $25 million of frozen sales. These discontinued sales in the recently acquired Ambient Group, results from an analysis similar to reviews we have implemented in previous acquisitions of the profitability of selected private label products as well as reduction in deep cut promotional activity as Rob mentioned. In the meat-free frozen plant, we planned to eliminate approximately $25 million of marginally profitable or unprofitable sales as we reconfigure our Fakenham plant in preparation for the new project we anticipate with a major U.K. retailer. Shipments under that project are expected to begin in May. Accordingly, our net sales guidance for the full fiscal year is expected to be in the range of $1.74 billion to $1.755 billion as the sales we expect to eliminate do not add to profitability, we now anticipate earnings per diluted share to come in a bit higher than originally guided, such that our new earnings guidance is being set at $2.40 per share to $2.47 per share. Our updated estimates show consolidated gross profit for the full year, for fiscal year estimated to be in the range of 27.7% to 28.2%. SG&A should come in, in the range of 16.5% to 16.85%. We continue to expect our tax rates to hold at 34%. And our recent acquisitions adding both fixed and intangibles assets expect our depreciation and amortization to come in at approximately $37 million. The last major assumption is a 48 million share estimate for the full year. Our estimates don’t include any of our discontinued operations and integrations restructurings or any anticipated new acquisition activity. At this point, let’s open it up for questions.
Operator: (Operator Instructions)Your first question comes from the line of Greg Badishkanian with Citigroup Group.
Greg Badishkanian: Great. Hey guys, sales seemed pretty strong. I think 9.4% on a comparable basis. Does that just exclude acquisitions in the U.S.? How do we -- how did you, kind of, get to that number?
John Carroll: Greg, this is John. That’s our sales for light businesses and then it adjusts for the movement of the Canadian sensible portions up to the Canadian division.
Greg Badishkanian: Okay. Okay. Good. I mean, now it’s pretty solid. In terms of January, have you noticed any big dropout for anything, different thing kind of a trend that you’ve been seeing the last few months?
Irwin Simon: Greg, it’s Irwin. No not at all and actually January has been pretty solid month. We like what we see. I think you saw some of it in the consumption numbers at Nielsen’s, that’s in the last week. It’s a big display month for super bowl that happened this past week but actually, I like what I see for January.
Greg Badishkanian: Yeah. Good. That’s really good to hear and then just in -- you talked about the scanner data, some of the, I guess, AC Nielsen’s is about half of the U.S. roughly. The other half can you -- how would you characterize that, business trends there at the last few months.
Irwin Simon: But here I think this way Greg. We reported 7.5% for the measured part, for the latest 12 weeks and as we are up in 9.4. So the balance of the accounts are doing very well as well.
Operator: Your next question comes from the line of Bill Chappell with SunTrust.
Bill Chappell: Good afternoon.
Irwin Simon: Bill, how are you?
Bill Chappell: Good. How are you?
Irwin Simon: Good.
Bill Chappell: Just wanted to, I guess, clarify with the business that you, I guess, discontinuing over on Premier and getting out of. How much of an impact did that have on the second quarter. And then also maybe if you could quantify what Sandy has in terms of impact on the quarter?
Irwin Simon: So remember one, Sandy, again was $4 million to $5 million that we didn’t ship that week. Somehow it would be picked up and got shipped, it was right over 500 stores closed and I think we saw within the Nielsen numbers. So that’s number one. And back and look at the effect from the U.K. as -- there are couple areas, like number one is the Premiere acquisition as Rob said three things the holiday, promotional items number one, retailers deciding not to promote and us not promoting and at the same time as we’re converting one of our facilities to take on that business, total was somewhere it’s around 10 million to 15 million pounds -- dollars, I’m sorry dollars.
Bill Chappell: Okay. I’m just trying to reconcile the kind of the original guidance you gave when you closed Premier in terms of revenue accretion this year and then kind of what you are looking at now?
Irwin Simon: So, originally, we said about $180 million, somewhere it’s 160, 165.
Bill Chappell: Okay. Great. Thank you.
Irwin Simon: All right. And again, just taking back, Bill, it’s stuff we decided after we closed to start eliminating, to run the plant more efficiently in the margins and as you can see, it’s not one bid effect on profitability here. At the same time, we are pulling some promotions to get retail prices up. And all other retailers want that too. So this is something that we -- as I said before, there is a lot you learn about the business before you buy it but once you own it, there is a lot more you learn.
Ira Lamel: And the only thing I’m going to add to that Bill is that this is not something that we’re doing for the first time ever having a quite business. We’ve done these reviews when we take over the keys so to speak and own the business and go through the first few months and make decisions about how we want to go forward with some of the product offerings.
Mary Celeste Anthes: Next question.
Operator: Your next question comes from the line of Andrew Wolf with BB&T Capital Market.
Andrew Wolf: Good afternoon. John, on the commodities side, do you have -- are you going to forward the comp on these products or hedged or some combination thereof. Do you think there is any risk of you as the biggest player in the industry can be caught short again?
Ira Lamel: In regards to the chia and the almond I take it.
Andrew Wolf: Yeah or any other commodities that you might have a view on that are running tight?
Irwin Simon: For example, Andy, on almonds we actually -- the price pressure started in the first half, however, because we had bought out through the first half. We were not affected by it. So we look to -- or position is that market like this we’ll buy spot based on immediate need but where we see that we have certain target price points but when we hit them, we’ll go long on them. There is a shortage right now on blue corn. We actually went long on blue corn originally and now we’re buying it on a stock-by-stock basis here.
Ira Lamel: And then Andy, I think the big thing is price is one part but getting supply and we rather pay higher price and then we had inventory but in everyone of these cases whether it’s blue corn, chia seed, almonds, we’re able to go out and procure with our worldwide procurement today and been able to source all around the world and that is the big thing that Hain has, is it might not be able -- we might not be able to get the product within U.S. but in South America, if it’s somewhere in Europe, U.K. we are able to go there and source ingredients. And we are a -- listen, the thing is and we are able to pass price on and especially with almond, butters and nut butters because with other nut butter plants, the peanut butter plan is not even operating. It’s either -- you take the price increase and you don’t get it because we got a line up of people that want that product today and are willing to pay the price and the same with chia seeds. The guys at the beginning of the year were about 20% of the world’s chia seed and we still were out of stock, but we are able to grow and find product.
Andrew Wolf: A follow-up on the guidance, the sales change on the rationalization. Those are both U.K. business groups, right. So with my understanding in the U.K., a lot of the branded business was kind of predicated also on private-label production. So how is it that you can trim this much private-label out without even affecting your trade relations?
Irwin Simon: Andy, it’s not all private-label. It skews that are not profitable. Some of it, some of it is some seasonal items. Some of it is private-label business. But what happens today is this here. In regards to Hartley’s, we need production time for branded products and for new innovation and new products. Retailers understand that. And at the same time, if we can get the right pricing we are not going to produce the product. The big thing is the other one is, there are certain skews we were losing money on and producing at Fakenham. We filled up that plant before with some volume where it was just basically a meat free plant and we are not going to do that. And we’ve gone to the trade and said, hey, either we get this price or we are just going to do it anymore. And as Ira talked about and Rob, we picked up over GBP30 million business that will begin at the end of May next year as great volume, great margins and that’s what we are going to do there.
Ira Lamel: Yeah. That business comes in actually in May of 2013. So it starts in our fiscal year this year, but it will have almost a zero impact on our sales in fiscal ‘13. It will ramp up as we go through fiscal ‘14.
Irwin Simon: And, Andy, this is not the first time -- no different than we bought Daniels. We sold off our divested ICL which is private label. It was private-label meals business, not our business, not our strategy here. At the same time here and I have said that before, we are going to get rid of unprofitable businesses. And we are looking at the same thing in the U.S. I mean, in this quarter over the last six months we have not promoted Rosetto and our sales are down 30%. But our profits are up there because we are not promoting and if we promoted it we would be at the same place. So that’s what we are going to focus on is profitable growth, and our promotion dollars are going to go against our top 18 brands that are growing that will make up 80% of our sales.
Andrew Wolf: Sounds like, it’s working at Fakenham and I look forward to learning more about it and the rest of the businesses. Thank you.
Irwin Simon: And it will work at our Houston facility too because what we can do is have all these different skews running and the changeover costs that’s just not affective are inefficient for us. And the thing is which we are doing here is immediately. You see we figured this out within the first two months. We’ve not waited six, seven months. We’ve gone to the trades and here’s what we are doing, so we have been decisive on our plan here.
Operator: Your next question comes from the line of Ken Goldman with J.P. Morgan.
Ken Goldman: Hi. Good afternoon.
Irwin Simon: Hi, Ken. How are you? Good afternoon.
Ken Goldman: Irwin, you are not selling organic chia pets, are you?
Irwin Simon: So you can see your chickens.
Ken Goldman: That’s fine. I will take that. Irwin, in the last quarter did your guidance include BluePrint in the top line?
Irwin Simon: No. It did not.
Ken Goldman: Okay. Okay. So you are lowering your guidance by $45 million on the top line for combined ambient and frozen, right?
Irwin Simon: Right.
Ken Goldman: And you are adding a little Blue Print in, right?
Irwin Simon: That’s correct.
Ken Goldman: Ex those two, just help me understand what are you doing with your top line guidance I guess on a more organic basis?
Irwin Simon: Well, it’s consistent with our original guidance of growing close to double-digit line for the year. So we are going to probably growth in the 9%, 10%, 11% range on the back half for the year. Total growth with the acquisitions in year-over-year was 27%.
John Carroll: I think to be simple about it, I mean originally…
Ira Lamel: I’m sorry, Irwin. One of the things that we didn’t call out as part of the guidance that we’ve just given you, Irwin mentioned Hurricane Sandy where we did lose a couple of million of sales on that. So we took it out of the total full year number. So we are also reflecting not just the forward-looking sales number that we expect, we are also reflecting in it that which we’ve experienced such as having started in the U.K. with some of these discontinuances and so on.
Irwin Simon: So, Ken, this is all U.K. focused originally what we said. We felt that the Daniel -- Houston facility, the premier brands was about 180. Today, we are saying it’s about 165, 160. At the same time there is about GBP5 million pounds coming out of Fakenham to make room and from a profitability standpoint for our new customer that we’ve picked up.
Ira Lamel: It’s not $5 million. It’s $25 million.
Irwin Simon: I’m sorry. $25 million I mean sorry. Ken, I think the one piece that we didn’t state which maybe will help you reconcile is we didn’t give you what we’ve accounted in for BluePrint. Remember, BluePrint is a half a year where accounting is for about $10 million, $11 million of sales in the back half which affectively will be the amount of sales we’ll get out for the fiscal year.
Ken Goldman: So just to summarize all of that and that’s helpful. Are there any changes, just to be clear, because as you know a lot of investors care about your organic U.S. growth, any real changes excluding BluePrint, excluding Sandy to your U.S. sales expectations for this year?
Irwin Simon: There is no change, Ken, to U.S., Canada or Europe. It’s just the U.K. is where and the change in the U.K. is to private labeled business that is manufactured both at Houston and Fakenhem. And some branded business that’s small skews that are not profitable. And again, you step back you rationalize brand, you’ll rationalize skews and again look at our margins are going up, look at our margins have gone up in the second quarter and our profitability I think it shows what we are doing to our sales is moving them in the right direction.
Operator: Your next question comes from the line of Scott Van Winkle with Canaccord Genuity.
Scott Van Winkle: Hi. Thanks. Hey, John, John, in your commentary about distribution gains in the U.S., you listed some retailers. Any specific product categories or anything we should think about where you’ve seen a little bit of a pickup at least from what you had in Q1 in new distribution?
John Carroll: Sure, sure. We are seeing a lot of pickups on Earth’s Best Pouches, particularly in the growth channel, seeing pickup with Safeway, with Kroger, with Publicx, Giant Eagle that’s a key piece. The other thing is we’re seeing some nice pick up on Greek Gods. We saw a 25% improvement in our distribution at Wal-Mart that came into -- that showed up in January. And we are also seeing different key accounts picking up (inaudible). And then the last one and look, these are just three examples. The last time I talked to you about is Sensible Portions where we just got listed at Kroger and Safeway.
Scott Van Winkle: Great. And sticking on the U.S., last year you had a real strong March period. Was there anything that drove that last year that we should think about you cycling against?
Irwin Simon: I think what you are going to see is that’s the time when we picked up and fully realized our first gains on distribution for Greek Gods at Wal-Mart where it fully fleshed out as well as Sensible Portions was picked up at Wal-Mart in addition to Sam’s Club.
Scott Van Winkle: So you are cycling some distribution gains. Has there been any impact of weather on some of your categories, tea and soup?
Irwin Simon: I’m here. Obviously, tea has got a nice benefit from weather. I hate to be the guy who cheers for miserable cold weather and flu season, but it’s very beneficial for our tea business and we’ve seen it in December and January.
Scott Van Winkle: And in your soup business.
Irwin Simon: And our soup as well. That’s the point I was wondering. We are seeing very strong growth on our Imagine Soup and our Health Valley Soups.
Scott Van Winkle: Great. And then Ira, if you can, could you -- and if you did, I apologize I didn’t catch it. Can you frame interest expense now that you have got the acquisition in there and what that looks like?
Ira Lamel: Yeah. We are expecting interest expense for the full year and this is the interest in other line that will come in. [Technical Difficulty] Hello. Somebody got a call. They are expecting it to come in at about close to $22 million, maybe a little bit lower than that. Just so you want to frame how to look at it. We’ve got $150 million of fixed rate debt at 6%. Everything else is at floating-rate and floating rates today are under three
Scott Van Winkle: Great. Thank you very much.
Operator: Your next question comes from the line of Amit Sharma with BMO Capital.
Amit Sharma: Hi. Good afternoon, everyone.
John Carroll: Good afternoon, Amit. How are you?
Amit Sharma: Pretty good. Thank you, sir. John, a question for you. This period non-major channels did better than major channels. That is the reverse of a trend that we have seen over several quarters. Can you walk us through what happened?
John Carroll: I think what we saw here was two things. One, a very strong pickup in our natural independence and some unmeasured gross -- remember HEB is not a measured grocery account and we’re seeing really strong pickup there as well.
Amit Sharma: And anything of note at Amazon or other retailers?
John Carroll: I was going to go there next. We’ve seen some very strong growth on some of the internet retailers as well. So despite different, they are serviced by a variety of different distributors.
Amit Sharma: Can you give us some idea of how much is retailers as a percent of sales now in U.S.?
John Carroll: I would. Here, I would say that all told, it’s definitely within our top 10 customers if we totaled it up as Internet.
Amit Sharma: Got it. And then a followup on the U.K. business. I mean clearly the strategy of divesting some of the lower-margin business that makes sense. But if I look at the margins, they are already at 10% in the quarter, operating margins. So, as you get rid of some of these businesses, where can we expect these margins to be once you are fully fleshed out with the portfolio over there?
Irwin Simon: You are talking about operating margins in the U.K.?
Amit Sharma: In U.K., yeah.
Irwin Simon: It should climb up a couple of points. And then we expect as we go into ‘14, not that we are giving any guidance that we will continue to climb because of the efficiencies in the plant -- in the Fakenham plant. As we bring on that program for the major retailer and again that will ramp up as we go through fiscal ‘14. It won’t all start right at the outset of the year, but we should -- it should get to a planned level by the end of ‘14.
Amit Sharma: But bringing that newer business, which is private label business, will not negatively impact your operating margins in U.K.?
Irwin Simon: No. It doesn’t. It’s a major program, which is going to make that plant highly efficient and effective. It’s one customer, which will take up past the plant. There is a lot of volume going through that plant, Amit.
Amit Sharma: Got it. So just to reiterate, so about $45 million of sales and 10% to 12% operating margin of that business?
Ira Lamel: I’m sorry. Could you say that again, Amit?
Amit Sharma: So that business will be about $45 million of annual sales and about 10% to 12% operating margin?
John Carroll: Yeah.
Irwin Simon: Yeah. And it will actually be higher than $45 million annually when it….
John Carroll: In full swing it starts to…
Irwin Simon: It’s a minimum GBP30 million sterling on an annual basis.
Amit Sharma: Got it. Okay. All right. I think that’s all I had. Thank you.
John Carroll: Thank you.
Operator: Your next question comes from the line of Sean Naughton with Piper Jaffray.
Sean Naughton: Good afternoon.
Irwin Simon: Hey, Sean. How are you?
Sean Naughton: Good. How are you, Irwin
Irwin Simon: Good.
Sean Naughton: A quick question for you. We’ve been talking about the U.K. and the U.S. a little bit. But maybe just looking at your other line item, the Canadian business and European, continental Europe, margins decreased a little bit there in the quarter and sales growth looks like it ticked down a little bit there. Any sort of commentary there? Is this seasonal, or is there something that impacted the comparability there in the quarter?
Irwin Simon: So, Canada, the margins probably -- the margin were really affecting Canada. We had about $2 million of a stock there, just some of the effects sort of getting product from the U.S. And at the same time, our margin was down a bit because the Europe’s best and just some of our commodity cost. So that’s the big thing with Canada. In regards to Europe, our sales in Europe were up strong, up almost 9% and I think our margin could be currency. It’s a little bit down. It’s just a bit down, but our sales were strong in Europe. Europe really had a great quarter.
Sean Naughton: Okay. And then just outside of chia, just moving to the commodity headwinds that you guys were discussing before. Outside of chia and almonds, are there other categories that we’re concerned about, maybe Blue Corn, but are there other categories we’re concerned about? And then I guess in terms of the pricing action that you guys took to offset the chia and almond pricing, when did that go into effect?
John Carroll: So, almond and chia, this is John. The almond and chia are by far the biggest concerns given the 30% increases versus the first half. We just announced we’ve taken pricing on both of those commodities in the beginning of the year, and then just have watched them continue. So we just announced another price increase for both one. But it really -- we won’t get much of this fiscal, perhaps a little bit in first quarter. The only other two that we are watching real closely is our rice and Blue Corn. Blue Corn is more an availability. It is not a wild pricing issue and rice, I was watching it relative to what’s going on in the non-organic market but both of those are really pale in comparison to the headwinds from chia and almonds.
Irwin Simon: And in the U.K., we did get pricing up in the business that we wanted to keep and that is something we’ve been believe do. But I think the big thing also, Sean, what Myers and his group have been able to do on productivity and get cost out whether it’s fuel or whether it’s freight, whether it’s corn. But the big thing is the supply. I mean, price is one thing but if you are out of stock it’s a big issue, and we’ve been able to stay in stock and today with pouches, we got all the pouches and all the Earth’s Best products we want. Same with Garden of Eatin’, we ran into organic corn. We will get certain other ingredients for Earth’s Best baby formula. So the team really knows how to go out and find ingredients here and we’re to find it, just too keep it in stock. Our gluten-free business in the first quarter, we were up 35% to 40% on Arrowhead Mills and DeBoles just getting ingredients grains and certain flowers to give us back -- back in stock was the first thing and the group has been able do it.
Sean Naughton: Great. Best of luck in the second half and congrats on the nice margin expansion.
Irwin Simon: Thank you.
Operator: We have time for one or two more questions. Your next question comes from the line of David Palmer with UBS.
Mineo Sakan: Hi guys. This is actually Mineo filling in for Dave. I’m just trying to think about your general outlook for growth outside the U.S. and I guess, most of the U.K. in particular you need -- if you mentioned this already, I’m sorry but what was the organic growth rate in the U.K. last quarter and what is your outlook for revenue growth going forward?
Ira Lamel: So, just in the UK.
Mineo Sakan: Just in the UK.
Ira Lamel: So, you let’s come back we’ve only own this business two months, three months, okay. And as you heard Rob say, we had the number one brand in Hartley’s, Sun-Pat and Robinsons is a big opportunity with Gales. You saw where our business with Linda McCartney was up 14%. We just introduce Greek yogurt. Our Love Tub was up 56%. Our soup business from New Covent Garden Soup business excluding Tesco was up about 6% from Nielsen-measured channels. So, to sit here today, as we pull everything together. Listen we got four or five key categories we’re number one -- were number one in that category. So mid-to-high single digit, that’s where we should be aiming at but we got some cleaning up to do. But at the end of the day, we really got some great brands and I’ve spend some time with retailers, who really want to focus on this brands and I think but the team will also do is a good job on gluten-free. They’re going to take over the non-diary business once we get our new facility. So lot of opportunity on our brand of business and it’s very interesting because Tesco who felt they were the major brand, yeah, recently had major recall with horse meat in their products and where they now focus were brands our important that will benefit us.
Mineo Sakan: Thank you very much.
Ira Lamel: Thank you.
Operator: Your next question comes from the line of Ed Aaron with RBC Capital.
Ed Aaron: Hi. Great. Thanks I apologize if I missed this, but you’ve been giving an all-channel consumption number for the past few years. Do you have that number for the second quarter in the U.S.?
John Carroll: Ed, this is John, yeah. It is very comparable. It’s little bit over 7% for the off channel because usually what we see is slower consumption growth in those channels that we’re  more established in.
Ed Aaron: Okay. And then to the extent that the reported growth is a little bit stronger than that, is that entirely coming from just business channels that aren’t tracking that data or is there an element of maybe just on because the inventories were -- had been a little bit light, just you maybe shipping just a little bit ahead of consumption for that reason?
John Carroll: No. It’s primarily those channels that are not measured. Remember Costco is not in there, HEB not in there and your internet guys are not in there as well. And we’re seeing a lot of sales move over to that Internet, Ed and this became a bigger part of our business of all time.
Ed Aaron: All right. I have some more, but in the interest of time, I will take it off-line. Thanks.
Irwin Simon: Thank you. So since that was the last question, I want to thank everybody for listing to our second quarter. I sit here and extremely proud of the team of what we’ve been able to do. We have some incredibly strong brands, when you have the amount of brands that we have that we’re up double digits, 16 brands up double digits, when you have traditional food business up slightly to see how we are executing with new products. The Anaheim Natural Foods Show is March 7th here in the U.S. We’ll introduce over 70 new products, 70 new innovative products with ingredients and packaging where we’re focused on, the GMOs, the organics, what’s the latest ingredient and that is the big show for us. In the U.K., we’re introducing another 70 or 80 products. So we introduced over 140 new products a year from innovation. We are in the midst of opening up a new innovation centre that well help us tremendously. At the same time, what John and Rob and I have talk about is how we’re partnering with our customers and having our customers, and how we picked up a major piece of business in the U.K. with the customer. How we’re growing across multiple channels in the U.S. whether it’s internet, whether it’s club, whether it’s mass and last but not least, Whole Foods, which is our biggest customer and seeing great trends there. So we are really partnering well and we’re seeing a growth among retailers that are growing today that allows John to execute his wide space and fill in that. And as you come back and at look at us two year stacked up 18% that really speaks for itself. The U.S. is 61% to 62% of our sales and that’s where a lot is happening. So the U.S. is working and that’s got to work and the U.K. will work for us, that is working and we’ll continue to work. We are making a lot of decisions here to build our business for long time and that’s profitable growth. Anybody can growth -- get growth. You can drive Nielsen growth by promotions and not make any money. And but we have 16, 17 brands that make up a big chunk of our sales and that’s where we are going to invest and that’s we’re going to spend behind and that’s what we’re going to continue to do. We’re in the good category. We saw last week where the USDA, FDA are coming out and changing a lot of the guidelines within foods and what should be sale within the food and the whole meal program. We continuously here 70% -- 70% of healthcare costs today come from self-infliction’s which is obesity. U.K. has a third highest rate of obesity in the world today, and health and wellness there will continue to be a big part of eating from the U.K. standpoint. So we are really within the great category. From acquisitions, BluePrint, we are pretty excited about BluePrint. We think there is big opportunity for us to expand this at retail in major way and we are focused in many, many ways. We are focused on it in Canada, in Europe and we think the whole juice category and fresh juice either from a cleansing, from a meal, and just juice in general will be a big growth for us and we have seen where we come up against some other major brands today in the juice category. How we’re out selling them on a 3:1 basis. So we think there is some big opportunities there. And last but not least there is a lot of other acquisitions out there. We’ve identified three or four other good Natha acquisitions that are in the $25 million to $30 million range that we think a category that we are not in today. And being part of Hain we think we can take them to higher level. And what we’ve seen with BluePrint, what we’ve seen with Greek Gods, what we’ve seen with Sensible Portions. The entrepreneurs have done a great job in starting these businesses and taking to a level and brining them within Hain how our infrastructure is able to bring them to whole other level. So we have great brands. We really are great partners out there. We are in good categories. I will say, we have one of the best management teams in place to really execute this. And eating healthy, as I say is not a fad, not a trend. And I know we eat a lot of snacks at the Super Bowl on Sunday, but I guarantee a lot of them were healthy snacks. So, with that keep drinking tea and you’ll avoid the flu. I’m also told BluePrint juice has a lot of reach nutrients in the juice and also a good flu buster. And thank you for listening and speak to everybody later.
Operator: This concludes today’s conference call. You may now disconnect.